Operator: Good day, and welcome to the Bazaarvoice's First Fiscal Quarter 2014 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jim Offerdahl, Chief Financial Officer, Finance, for Bazaarvoice. You may begin.
James R. Offerdahl: Thank you. Good afternoon, and welcome to today's conference call to discuss Bazaarvoice's financial results for the first fiscal quarter of 2014 ended July 31, 2013. I'm joined today by Stephen Collins, our Chief Executive Officer; and Gene Austin, our President. Following prepared remarks from Stephen and me, we'll have a question-and-answer session. Please note that we are simultaneously webcasting this call on our Investor Relations website at investors.bazaarvoice.com. The earnings release with our results for first fiscal quarter of 2014 was issued earlier today and is also posted on our Investor Relations website. Please remember that certain statements made during this call, including those concerning our business outlook and guidance, growth plans and opportunities, potential acquisitions, sales execution and our ability to capitalize on our opportunities, are all forward-looking statements. Forward-looking statements are subject to a number of risks, uncertainties and assumptions that are described in our SEC filings, including the Risk Factor section of our Form 10-K for the fiscal year ended April 30, 2013, and our Form S-1 as filed with the SEC on July 12, 2012, and other documents that we may file with the SEC in the future. Should any of the risks or uncertainties materialize or should any of our assumptions prove to be incorrect, actual results could differ materially and adversely from those anticipated or implied in these forward-looking statements. In addition, forward-looking statements are also based on currently available information, and we undertake no duty to update this information. Additional cautionary language regarding these forward-looking statements is further described in today's press release. Finally, some of the numbers that we will discuss during this call will be presented on a non-GAAP basis. Today's press release, together with the accompanying tables, contains the calculations of these non-GAAP financial measures and a full reconciliation between each non-GAAP measure and its corresponding GAAP measure. I would now like to turn the call over to Stephen.
Stephen R. Collins: Jim, thanks, and everyone, thank you for joining us today. As always, I'd like to begin by thanking our clients for their business and by thanking all the Bazaarvoice team members around the world, including our critically important moderators, for their hard work and dedication during the quarter just ended. And as I've done on each call as CEO, let me review our key near-term operating objectives that relate to our long-term strategy. Briefly, these are: to significantly increase global new account acquisition, to expand and strengthen our leadership team, to invest in growth opportunities for our network, to migrate our clients to our new technology platform and to win our litigation with the Department of Justice. This quarter, we continue to make progress on all of these objectives. And if I could choose a theme for the quarter just ended, and our current quarter in fact, it would be that we are very much focused on operational excellence and integrating all the newer members of the leadership team, including our President, Gene Austin, who's with us today; and our Executive Vice President of Client Services, Marc Cannon, among others. I'm pleased to say that Gene and Marc and other new leaders hit the ground running on day one and have made tremendous strides in organizing for excellence in our operations. I'm sure it is not lost on our investors that we have built an entirely new senior leadership team over the last 6 months. These changes and additions to the team, I believe, are critical for our company's future to take us to the next level. I can already see the positive impact that the team is having, bringing their considerable experience and operational discipline to bear throughout the company. Before I move to the details of the quarter, let me update you on the status of our DOJ litigation. Nothing has changed in our disposition towards this litigation as we feel strongly that the acquisition of PowerReviews was a win for all our clients and for the marketplace. The trial is scheduled to start on September 23 and run for approximately 3 weeks. Litigation is unpredictable. But I am hopeful that on our next earnings call, we will have this behind us, and we'll be celebrating a favorable outcome. So now on to our results. I'm pleased to report that we achieved revenue that exceeded our guidance. Revenue came in at $44.6 million, representing a year-over-year growth rate of 25%. With regard to the bottom line, we reported an adjusted EBITDA loss of $3.2 million and a non-GAAP loss per share of $0.05, both better than guidance and a substantial improvement as compared to the previous quarter. I'd like to also mention that gross margin reached an all-time high at 70.5%, an increase of approximately 400 basis points since our initial public offering. Jim will provide additional details about margins, but this achievement has been the product of significant focus over the last 2 to 3 years involving important changes to our technology and processes. A big driver of this outcome has been steadily increasing employee-to-revenue productivity that has required a total company effort over a sustained period. In Q1, we launched 68 new clients, and we now have 1,239 enterprise clients, up 163 net from the same period last year and up 31 net clients sequentially. During the quarter, we lost 37 clients, and thus had a client retention level of 96.9%. We now serve 277 of the U.S. Internet Retailer 500 and 134 of the Fortune 500. The long-term headline is that brands continue to be the primary growth engine for the company, consistent with our view of our total addressable market opportunity and consistent with the sales and revenue trends over the last 2 to 3 years. Keep in mind that the metrics I just mentioned reflect clients launched and live as opposed to sold or booked. Historically, we report clients launched as our preferred metric due to the latency and seasonal variability between sale and go live. But qualitatively, I'm happy to report that we did very well on new clients booked for the third quarter in a row, and we are on track with our plans to significantly accelerate the pace of client acquisition as compared to the last couple of fiscal years. I believe our focus on multi-quarter pipeline building and new customer acquisition has oriented the team to higher velocity, more repeatable selling processes, and this is exactly what I want to see. Great new clients launched or closed in the quarter include a signature win with the addition of Target, the third largest retailer in the U.S.; Staples U.K. for Bazaarvoice Media, an exciting development because we just landed Media in Europe in the last few months; Michelin; Elie Tahari; PPG Industries; Kellogg; TOMS Shoes, among a number of others. While there were several positives in Q1, I also want to discuss areas regarding our performance that were short of our expectations. We did well with regard to the number of new clients acquired, a key area of focus, but we did not do as well as we would have liked on closing large enterprise deals. These opportunities include existing client brand expansion deals that we are continuing to negotiate. So I can't point to anything market-driven. It is my view that our results are somewhat a function of the deliberate choices I ask the team to make to focus on new client acquisition as their top priority, and that has driven a shift in behavior. I believe this shift in focus was much needed, and it may take some more time to achieve the proper balance of effort. The other area where we didn't do as well as we would have liked is launching clients live. One of the things that we've been focusing on, especially with the new leadership in services, is looking at better managing implementation timing to ensure when we launch revenue -- or we can launch revenue more smoothly over each quarter and to ensure we do the best possible job for the client in implementation. Much of this effort is really around client education and implementation of best practices as opposed to the actual deployment of the technology that is now easier on our new platform. Also, we are doing double duty at present, bringing both new clients on and migrating clients to our new platform. In this area, too, I think the team is doing all the right things for the client, and my direction to them was and remains to put client's best interest first even if that means we don't maximize client launches in the near term. There's one other factor influencing our forward outlook at this time. For one of our largest clients, we are working proactively to make price changes mid contract that we both feel are appropriate and the best interest of long-term relationship. This particular client has a multi-year contract, and there are a number of factors influencing the change, including client-side considerations outside of our control. None of these areas of performance diminishes my optimism about the opportunities for our company, and I remain quite confident in this regard, especially now that we have our new management team in place. All the same, I'd like to get through the DOJ process and see the team operating together for another quarter to get a better look at the second half. Doing so allows room for the new leadership team to make any decisions they feel are best for our long-term prospects in a number of areas and thus, we are going to maintain our current annual guidance at this time, and Jim will provide some more details in this regard. Now back to the business. I'm very pleased to communicate that Forrester Research named Bazaarvoice as a leader in its July 2013 report, The Forrester Wave: Social Depth Platforms. Conversations received a rating of 5 out of 5 for criteria including ratings and reviews, analytics, reporting, authenticity, ease-of-use, ease of deployment and international support, among others. This is a pretty big deal. High-profile third-party reports have a very meaningful impact on the market in terms of raising awareness about our company and to validate the value we can create for clients. During the quarter, we, again, influenced over 400 million unique shoppers and consumers monthly around the world and delivered approximately 46 billion impressions of reviews over the course of the quarter, a year-over-year increase of 39%. Now as you know, our revenue is not directly tied to volume, but the size and breadth of our shopper network is a key element as to how we create value for consumers and our clients. So building our network is essential to our long-term strategy. Our 2 most significant initiatives to expand and monetize our shopper network are Connections and Bazaarvoice Media. Connections had another great quarter in my view, and I'm excited about the momentum we're building to enable our network of brands to connect to consumers real-time in the online shopping channel. We added 225 net new unique Connections clients and now have 854 total Connections-only clients. Total Connections clients, including those that also utilize our core enterprise solutions for ratings reviews, are now just shy of 1,000. Our strategy for Connections is a classic network strategy. We're focused, first, on building a critical mass of retailers and brands to engage with consumers and get them on the platform. So we offer premium functionality to provide limited engagement tools to answer questions and respond to reviews. Doing this is really a new marketplace behavior that we are enabling, and education is required. As more retailers and brands add Connections, we are setting the stage for launching premium services to ignite the long-term revenue potential we see for this service. Also, we see evidence that Connections will become an important source of pipeline for our conversations ratings and reviews platform, as a number of Connections' first clients have already added conversations. We've got some ambitious plans for Connections over the next few months as we begin to roll out more capabilities and expand the program. Our Bazaarvoice Media operation did a great job this quarter of building and rounding out their team, and that was a key focus for them this quarter. We have begun to more deeply integrate Bazaarvoice Media into our retail selling efforts. And as I mentioned earlier, we had a great retailer win right out of the gate with Staples U.K. This was especially exciting as we just landed the Media team in Europe a few months ago. Media revenues grew on a pro forma basis over 80% year-over-year, a solid performance certainly. But please keep in mind that Media is a newer solution for us and has seasonal volatility, as we've discussed in prior calls. I'm excited about our road map and continue to see long-term potential to integrate digital marketing solutions into our offerings. In total, our network client population that includes Connections, Express, our turnkey ratings and review solution acquired from PowerReviews, and Media now exceeds 1,600 clients, bringing our total global client base count to more than 2,800 globally. As you know, I believe shopper media and network capabilities are strategically important to our ability to create the greatest value for our retail clients and to offer our brand clients other ways to engage consumers while they are shopping online. Shopper media, that is selling advertising on eCommerce sites, is relatively new to the marketplace and is evolving quickly, and it is strategically important for Bazaarvoice to have a horse in this race. Platform migration is moving along. All new clients, except in very rare instances, are deployed on the new platform and implementation is, in fact, much less complex. Over the last year, we made great strides in the scalability, reliability and measurability of our platform, and I'm very excited about the new opportunities that will ultimately emerge from these investments, including both cost savings and revenue. On last quarter's earnings call, I explained that during fiscal 2014, we would focus on laying the foundation to accelerate growth rates in fiscal 2015 driven by, first, focusing on outstanding sales and service execution for our software as a service offering while developing complementary network-oriented solutions. I, again, am very pleased with our progress, but there remain some areas where we can do better, as I've already discussed today. Most importantly, I'm extremely gratified to have our team in place in leading. This gives me great confidence going forward. With a new management team in place, we are revisiting a number of key business processes and as you can imagine, making changes that are building blocks for our future. We're in transition, but all the pieces are in place to drive better results over the long term, and I'm looking forward to continuing to bring the new management team together to focus on excellence in everything that we do for our clients. I've invited Gene to join the call, as you know, and he'll be available for Q&A. So please feel free to address any questions you might have directly to him. To conclude, I continue to see a compelling set of opportunities for Bazaarvoice and believe that we have a very valuable portfolio of strategic assets and capabilities that once fully unlocked, will drive a powerful and profitable growth engine building on our successes today. I believe the investments we are making to pursue these opportunities, including how we run our business day to day, are absolutely the right thing to do for the long term. Now let's turn the call over to Jim. Jim?
James R. Offerdahl: Thank you, Stephen, and thank you to everyone who's joined the call today. As a reminder, we are on a fiscal year calendar ending April 30. So today, we are reporting results for the first fiscal quarter of 2014 ended July 31, 2013, and all accounting periods discussed will be fiscal. Unless otherwise noted in my remarks, I will cover our non-GAAP operating results that correlate with adjusted EBITDA as a measure of operating profitability, including discussions of cost of revenue and operating expenses. Investors should refer to our press release for a complete overview of our financial results, including the reconciliation of GAAP to non-GAAP operating results, comparative information to prior periods and key operating metrics. I'll first provide commentary on our first quarter 2014 financial performance and will conclude with our outlook for the second quarter and full fiscal year 2014. As Stephen noted, we achieved total revenue of $44.6 million in the first quarter, up 25% year-over-year, exceeding the high end of our guidance range of $43.5 million to $44.5 million. This year-over-year growth rate benefited from our 2 acquisitions during fiscal 2013. So on a pro forma basis, our year-over-year growth rate was 17%. We achieved SaaS revenue of $43.1 million, up 21% year-over-year and up 15% on a pro forma basis. Note that we acquired PowerReviews in the first fiscal quarter of 2013. Net media revenue is $1.5 million, up 86% on a pro forma basis. Note that we acquired Longboard Media in the third quarter of fiscal 2013. Adjusted EBITDA for the quarter was a loss of $3.2 million, better than our guidance of a loss of $3.5 million to $4 million. Our adjusted EBITDA loss improved significantly on a sequential basis as a result of our revenue growth, our continued achievement of higher gross profit percentages, lower commissions, lower marketing costs after holding our customer summit in Q4 and lower bad debt expense as our DSOs and aging improved in Q1. A reminder regarding our accounting policies affecting EBITDA. We expense commissions as incurred, and we do not differ implementation costs, even though we recognize revenue over the life of our contracts. We do, however, capitalize and amortize software development costs where appropriate. Our non-GAAP net loss per share was $0.05, better than our guidance of a loss of $0.06 to $0.08. As Stephen noted, we added 31 net new clients in Q1, up sequentially for the second quarter in a row. This included launches of 68 clients and the losses of 37 clients, resulting in a Q1 active enterprise client retention rate of 96.9%, which is consistent with our average over the last 5 quarters. We ended Q1 with 1,239 active enterprise clients, with annualized SaaS revenue per client of $141,000, consistent with the prior 3 quarters. As mentioned last quarter, we expect our annualized revenue for such type of client to likely decline in the future as we concentrate on adding larger numbers of new clients at initial pricing that's lower than our company average. However, we continue to view this as healthy for our network and consistent with our historically successful land and expand approach. We achieved gross profit of 70.5% in Q1, up a strong 460 basis points from the same period last year, up 170 basis points from the fourth quarter and above 70% for the first time since becoming a public company. Our gross margins benefited from continued economies of scale with our third-party hosting providers and with our moderation function, more efficient implementations with our Conversations platform, as well as higher margin net Media revenues. Sales and marketing expenses were $19.4 million and represented 43.5% of revenue this quarter as compared to 37.6% in the same period last year. Sales and marketing expenses increased year-over-year in both absolute dollars and as a percent of revenue as we increased our quota-carrying sales reps and as we increased sales and marketing support to support our Media operations ahead of the upcoming holiday season. R&D expenses were $8.1 million, representing 18.2% of revenue this quarter as compared to 19.4% in the same period last year as we continue to increase investments in our new platform, offset somewhat by higher capitalization of software development costs. G&A expenses were $7.1 million and represented 16% of revenue this quarter as compared to 16.7% in the same period last year as we have started to achieve some operating leverage and for being public for more than a year. Acquisition-related expenses, which we exclude from our adjusted EBITDA loss and non-GAAP net loss per share, were $7.5 million in the first quarter, almost all of which was related to our ongoing lawsuit with the Department of Justice and related shareholder derivative litigation. The DOJ trial is set to begin later this month, and we expect to continue to incur expenses on this matter during Q2. We continue to gain operating leverage as a company as we achieve annualized revenue per average employee of approximately $229,000 in the first quarter, a new all-time high, up 13% from the same period last year and up from 220K in Q4. In addition, our annualized gross profit per average employee improved to approximately $161,000, up 21% from the same period last year and up from 151K in Q4. We ended the quarter with 776 employees. Now let's turn to the balance sheet. We ended the quarter with $85.4 million in cash, cash equivalents and no debt. Our DSOs improved to 54 days from 60 days at the end of the fourth quarter. Our deferred revenue was $54.5 million as compared to $49.1 million a year ago and $56.9 million in the fourth quarter. We continue to believe measuring changes in deferred revenue is not a good proxy for new bookings during the quarter as we typically have a very mix of monthly, quarterly, semiannual and annual billings from both new and existing clients, with average upfront billings of less than a year. For example, in Q1, our deferred revenues would have increased sequentially if not for a lower mix of annual billings, which impacted deferred revenue by over $5 million. Further, given our typical 3- to 4-month implementation cycle between the booking of a new client and the date at which we launch a new client and begin recognizing revenue, the value of any new bookings closed during the quarter may not be reflected in deferred revenue until subsequent quarters. As a result, total contract value of new bookings is just not discernible in deferred revenue. From a cash flow perspective, cash used from operations in the first quarter was $9.2 million, of which $6 million was related to the DOJ case and related shareholder derivative litigation. CapEx was $4 million in Q1, of which $2 million was capitalization of developed software as we continue to innovate our new platform. We expect our cash used from operations to continue to be greater in our adjusted EBITDA loss for the next several quarters as we continue with the DOJ case. In addition to the DOJ, included in accrued expenses and other current liabilities on our balance sheet at July 31, 2013, were certain items totaling approximately $10 million that we also expect to result in increased use of cash this year. These items include: continued consideration payable in connection with the Longboard Media acquisition, accrued sales tax and other stock-related expense, all of which are excluded from adjusted EBITDA. These accrued expenses and liabilities are estimates and are subject to adjustments as described in the footnotes to our financial statements. I'd like to now finish with some thoughts regarding the financial outlook, starting with guidance for the full year of fiscal 2014. As Stephen indicated, we are reiterating our full year guidance of $184 million to $187 million revenue. We expect -- we continue to expect Media revenue to approximately double on an as reported basis and grow approximately 40% to 50% on a pro forma basis. As we noted last year, we plan to continue to invest in the business, including investments in sales and product development to leverage the network effect of our retail and brand clients. Along with the leadership changes we have made, we remain optimistic that if we execute as expected for the remainder of fiscal 2014, including continuing to ramp our sales force, increasing the pace of new account acquisition to build a more robust cohort and continuing to grow our Media business, we would expect our revenue growth rates to begin to reaccelerate some time during fiscal year 2015. In regards to adjusted EBITDA, we are reiterating our guidance of a loss of $11 million to $13 million for fiscal 2014 as we continue to gain operational efficiencies. We are also reiterating our non-GAAP net loss per share of $0.23 to $0.27, now based on 74.3 million weighted average shares outstanding. Turning to guidance for the second fiscal quarter of 2014. We expect total revenue to be in the range of $44.75 million to $45.25 million, up 17% year-over-year at the midpoint of the range. We expect adjusted EBITDA loss to be in the range of $2.5 million to $3.5 million. Non-GAAP net loss per share is expected to be in the range of $0.06 to $0.08 based on 74.4 million weighted average shares outstanding. With that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question today comes from Greg Dunham with Goldman Sachs.
Gregory Dunham: I guess, first off, and you highlighted that the bookings initially in the call, and it sounds like you made some progress on the customer account front, but the deal size, you wanted to make some tweaks there to drive better behavior there. Can you maybe talk about the backlog of customers that are maybe in implementation that haven't yet rolled out and kind of the levels of performance on a customer account basis first? And then addressing the tweaks that you're making to drive better behavior from a deal size perspective, when would you expect those tweaks to be implemented, and how should we think about that from a bookings basis as you go throughout the year?
Stephen R. Collins: Okay. Thanks, Greg. Let me briefly talk about how we -- how I oriented the sales team coming into the year, and then I'd like Gene to address some of the forward actions. I put a huge amount of emphasis, as you know, on focusing on pipeline building and new account acquisition. We changed commission plans, I've discussed that. And in fact, even at an executive level, part of our compensation is now focused around cohort building, adding new clients. I think they did exactly what I asked them. And I think, to some degree, that probably pulled their focus away from really getting on top of and closing both existing client and new client large deals. So the pipeline looks good, but we just got to achieve a proper balance there. So in many ways, I would say it was my direction that drove that and not some fundamental change in what's going on in the business. But let me let Gene address this as well because he's been knee-deep in it for the last 4 months. Gene?
Eugene Austin: Yes, thank you, Stephen. Good afternoon, everyone. It's great to be a part of the Bazaarvoice team, having joined back in May. Just a little bit of background. I'm really spearheading our go-to-market strategy for the business, which includes the sales, marketing, services and our partnership function in the business. And so I've been knee-deep meeting with customers, really understanding the power and promise of our network and how we're taking the business to market. To kind of come back around to the question, Greg, the way I would characterize Q1 is we had a very strong small medium business performance. But from the company standpoint, we saw a great customer acquisition as well as strong bookings. As you recall, in Q4, the company had a nice bookings quarter, and that was -- there was a lot of enterprise business in that quarter. So what I see going on right now is your typical kind of pipeline rebuilding in the enterprise space. I certainly would like to have more consistency in enterprise going forward, and that's certainly my mission. I do think the enterprise business has a robust pipeline at this point. And I think there are a lot of opportunities, as Stephen mentioned in his remarks, that we continue to negotiate and continue to look at closing down the road here. So I feel very good about that. Just when I think about bookings the rest of the year, I think about performance consistency in the enterprise space. But I also am excited about the international expansion that's going on. We've been putting a lot of emphasis in the European region and have added a number of sales resources that I hope to kick in, in the second half from a productivity standpoint. We're also going to open Japan, which if you obviously track, is now open, I guess. Our KK [ph] was open any day. We have our country manager in place. Japan is a very strong eCommerce market, and we expect that to be measurable certainly in the last quarter of the year. So from a bookings standpoint, I feel like we're seeing pipeline building that's good. I'd like to see more consistency in the enterprise space. But generally, feel like the sales side of our business is in position to perform the rest of the year.
Gregory Dunham: Okay. Great. I guess -- and Jim, one follow-up. I think -- did I hear you correct that if the payment terms or the invoicing mix hadn't changed, that would've had a $5 million impact on deferred? And really the question is that, that magnitude is very high, and I guess it does speak to the difficulty in measuring your business looking at billings. Did I hear that correctly?
James R. Offerdahl: Yes, you did. And our year-over-year built -- calculated billings, I believe, is about 4%. And if you normalize to what is a more typical annual billings, it would've been 18%. So -- and that impacted deferred revenue as I described as well.
Operator: And we'll move on now to Jennifer Lowe with Morgan Stanley.
Jennifer Swanson Lowe: I just wanted to go to some of the commentary around the double duty that the implementation team is currently going through with getting new customers implemented and then also migrating customers to the new platform. And I guess really 2 parts to that. One is as we look at, at that new customer adds metric, which is improving but maybe a little more slowly than we would've thought given the inflection in gross and new signings last year, first half versus second half, is that really the barrier there? Or is there other factors that maybe that's climbing a little more slowly than we thought? And then secondly, in terms of how you address any potential bottlenecks there, do you expect that to be sort of a persistent issue? And does it require you to maybe hire more heads or use consultants? How are you planning to address that capacity?
Stephen R. Collins: Good questions, and there's a lot underneath the surface on this topic. So our migration efforts are not holistic. They're targeted. Where we're focusing most of our migration efforts is really on the back end, which is updating the platform. That really doesn't affect clients'. But we do have a number of clients of all sizes who want to move to the new platform for -- and the new front-end, this is a consumer experience, what you would see when you're on a website, to take advantage of some of the features that are available. So we're accommodating those requests. And when a more important client, that's one of your top 10 or 20 clients, wants to get that done, that doesn't come with incremental revenue, but it's important, nonetheless. So that is just a balance issue that we're trying to work out. And I would say, generally, we anticipated that, and we're just putting a governor on it. What we don't want to do is deleverage the business unnecessarily and push too many clients to migrate too quickly and end up driving our gross margins down by hiring a bunch of extra personnel. So that, we don't think, is the right thing to do. For what it's worth, it's summertime. And I can't say definitively that this is the hardest quarter to get clients' attention to go live, but it is harder than other quarters. Anecdotally, I can conclude that. So we also had a new services team. Marc Cannon joined. One of the important early recommendations he made is, "Listen, we push a lot of our launches towards the end of each quarter. That puts a strain on the team. It puts a strain on the clients. We need to smooth this out a little bit. And I'd like to have the room to accomplishment that." And I said, "Do what's right for the clients." Gene?
Eugene Austin: Yes, let me just add because I think those are great points. The one thing I would add to Stephen's remarks are, we have really stepped back and looked holistically at the client experience with Bazaarvoice. And one of the things that we want to do is drive a very consistent, strong implementation cycle with each client because we believe from past experiences, and our SaaS experiences that, that sets the client up for longer-term retention and helps us on the back-end when renewal rates -- renewals come around. So I think that has also allowed us to step back. And we're now being much more deliberate on how we implement clients because as they're implemented, they are going out in a much stronger, robust fashion. They can take more advantage of our applications sooner. And we think that's going to pay dividends down the road for the company from a churn and retention standpoint down the road.
Operator: And moving next now, we will hear from Stephen Ju with Crédit Suisse.
Stephen Ju: All right. So Stephen, any color you can give us on the mix of clients that you've added during the course of the quarter, and also, what the mix on those folks who have churned off? And also, I'm curious about the Bazaarvoice Media win with Staples U.K. Can you share with us what they are actually signed on to show in terms of advertising at this point? Is it more for the brand, co-op type of advertising? And what can we expect to see when it goes live on the site?
Stephen R. Collins: Yes. So in terms of the color on client wins and losses, the trend that is firmly in place and has been in place for the last 2 or 3 years is that the majority of our new adds and bookings dollars are coming through on the brand side. And so if you were to tear apart our business and look at retail and brands, you would see different growth rates. And of course, when we talk about our outcomes, they're combined. But it's really 2 different stories. And the brands; are definitely where we're getting the adds. That's driving Connections completely. And so you can assume that the majority -- the strong majority of new additions are on the brand side. And as far as retention goes, there are a mix of typically smaller clients and things. I can't definitively say what that mix is, but it's probably similar to the mix of revenues right now, okay? As far as Staples U.K. goes, at this time, I can't really get into any of the specifics of the transaction. What was notable is when we acquired Longboard, we decided, "Hey, let's go ahead and put 1 or 2 people in Europe and see what the appetite is for signing up retailers to put their inventory in." And actually, as it turned out, we were very pleasantly surprised. So bringing in a brand like Staples, in this case, a retail brand, is just indicative of the fact that there's a global opportunity here, and that was the primary reason for calling it out. It still takes a few months to bring these guys in to essentially integrate their inventory and then put it in the market. What we have to do now is -- because we got a pleasant surprise on the supply front, is we have to get people out selling advertising in Europe, so we got to catch up a bit. But it was really exciting to see that happen, and it happened much quicker than we expected.
Operator: And our next question will come from Nandan Amladi with Deutsche Bank.
Nandan Amladi: How much work is left on the platform to make -- bring customers up live more efficiently? I know you have invested quite a bit over the last 1.5 years or so, and we saw gross margins improve. How much more room is there for margin improvement?
Stephen R. Collins: So 2 different questions. Yes, this is a -- in terms of front-end migration, this is a fairly long process. You're talking next couple of years. Back-end is different, and we get to take advantage of that much more quickly. What's most important is that new client, which is where most of our cost is associated when it comes to implementation and cost of revenues, new client are going on conversations. I think that we are -- now that we're over 70% on margins, we're getting -- we're approaching our long-term target that we discussed all the way back at IPO. But I think that over the next few quarters and years, there's still room to improve here. But it will take continued, sustained effort along the lines of the effort that we've put in the last 2 or 3 years. It's been a long-term objective of the company. And so I feel pretty good about our ability to continue to improve here. Some of the less appreciated changes we've made through our platform that have driven down variable costs are changes around our moderation technology, for example. As you saw, traffic goes up, and that's always been the case. So the ability to drive down unit costs for serving those impressions and moderating all that content has been essential to our ability to expand margins. So there's really a lot to that. And it's a major area of focus for the company, not only to continue to expand margins but because what we're doing underneath the surface will ultimately open up a lot of new product opportunities that we historically could not pursue. And an example of that would be analytic solutions that involve multiple websites instead of a single client. And that required a pretty significant change to our underlying platform.
Nandan Amladi: And a quick follow-up, if I might. How many salespeople do you have now? And what is your plan for the remainder of the year?
Eugene Austin: We have roughly 60 sales reps, and we're adding all the time.
Stephen R. Collins: And we're talking about quota-carrying feet on the street. They are also supported by what we call client success directors and other folks who are directly or indirectly out there, technical support, et cetera. So Jim may have the more exact number, but the global sales organization, if you put it all together, is more in the range of 200-plus.
James R. Offerdahl: Yes.
Nandan Amladi: Okay. And do you have a target for the end of this fiscal year?
James R. Offerdahl: This is Jim. We -- in the last call, we said we're going to try to grow our quota-carrying sales force, about 40% year-over-year, and that's what we still plan to do.
Operator: And we'll now go to Karl Keirstead with BMO Capital Markets.
Karl Keirstead: I've got 2 questions. Stephen, congrats on the Target win. If I'm not mistaken, they were using privately held Pluck until now. I'm wondering if you could give color as to why they have switched to Bazaarvoice. And then I've got a follow-up.
Stephen R. Collins: Sure. This is -- we really celebrated this win. As I understand it, we've been chasing Target around for -- they've been our target for a long, long time, certainly, predating my joining the company. My view is that our expanding set of capabilities, including shopper media, our ability to provide more ways for Target to make money from their review content, our network capabilities, our service levels, our reliability, that, that -- our dedication to what we do, I think, ultimately won them over. And that was something that we proved over a long period of time, not only in the sales discussions but also as we did some projects and things together. So the summary point here is I think it was the completeness, if you will, or the holistic solution that we were able to provide and the clear commitment to investment in R&D and to creating value for them and driving performance, meaning make them more profitable and help their revenues grow, that was compelling to them. And that's why they made the change.
Karl Keirstead: Got it. Okay, that's helpful. And then, Stephen, if I might just ask you on the DOJ issue, just so we're all level set on timing, you mentioned September 23, last 3 weeks, so we're into the middle of October. Will, at the end of that trial date, we get some kind of announcement conclusion, one way or the other? And then if you could just tie that response to what Jim had mentioned earlier around the operating cash flow exceeding adjusted EBITDA for several more quarters, in part because of DOJ costs. That made it sound like you'll be incurring legal expenses for several more quarters. Maybe you could tie those 2 thoughts together.
Stephen R. Collins: Yes. Okay, so I'll let Jim address the cash flow issue. There is no guarantee of a final resolution. And so Jim is addressing the probability that, that could be ongoing and informing investors. However -- and I think the best word and the word I used in my script is I am hopeful that this will come to a conclusion, not too long after the trial wraps up. Now there's no instant result button that you get to push and find out the verdict the minute the trial ends. You all should expect that a ruling would come out some several weeks after the conclusion of the trial. It could be longer. But I think based on everything I know about how we're progressing right now, that, as I said, I'm hopeful that this will be behind us as we pick up the phone to speak to you again next quarter.
James R. Offerdahl: Yes. And this is Jim. In regards to the financials, the expense side of the equation in these trials in September and early October, so that will be in our Q2, I mentioned from a cash flow standpoint, we would end up paying those bills, both in Q2 and in Q3. So there's a difference between the recognition and the expense and the payment of the cash. So hence, there will be some cash flow impacts, I think, beyond Q2.
Stephen R. Collins: Yes. The bottom line is if the trial outcome is favorable to us and things are resolved, then our cash flow will be better.
Operator: And moving on now to Mark Murphy with Piper Jaffray.
Mark R. Murphy: Yes. Thank you, Gene. In the SMB segment, you described it as very strong with strong bookings. I'm wondering if you can offer any more detail in terms of maybe what drove that, what you attribute it to. And then secondarily, just thinking it through, you're reaffirming the fiscal year guidance. You're reaffirming the potential to accelerate the top line in FY '15. So is it fair to assume that the strength in the SMB segment you saw this quarter is essentially offsetting some of the pipeline rebuilding on the enterprise side?
Eugene Austin: Yes, Mark, I think the simple answer of why the SMB performance was good was we made a commitment to really go after that market last year. And we built out the teams and saw some very strong performance and productivity gains by those different resources. So it was mostly just a coming of age of the focus of that organization. And yes, to some degree, it is offsetting the more lumpy side of enterprise. Enterprise business, by its nature, is lumpy. So yes, to some degree, it does offset that. And I continue to see good SMB progress by the company. So I'm encouraged by that initiative.
Stephen R. Collins: And for what it's worth, Mark, this is Stephen, SMB is a little bit of a misnomer for us. I mean, there are instances where those transactions have been quite attractive in terms of the economic stuff.
Eugene Austin: Many of them are large, yes.
Stephen R. Collins: So it's really more about setting up a team and a process that's focused on acquisition and doing so at high velocity. In fact, the team, the program, is called Velocity. It's the project name. And it was around building those capabilities within the organization. And I've been very happy with the results so far but doesn't imply that they're all small deals.
Mark R. Murphy: And Stephen, also, I was wondering if you could put a finer point on a couple of comments on the Target win. I mean, is there any way you can take it further in terms of scope and scale? Maybe could it -- do you think it's going to become a top customer as you get it deployed? And is there any comment you can make on the expected time frame there to go live?
Stephen R. Collins: Yes, I mean, Target is a top customer. Full stop, it was a great win. It's the one we probably celebrated more than any other. Key retailer, it has strategic benefits to us in terms of network expansion. We're excited about their openness to work with us on multiple levels. And as far as implementation goes, I mean, they get rolled in just like everybody else. So it's not something that happens a year later. But -- and I want to reemphasize here that winning a company like Target, the real benefit down the road is it helps drive more brand revenue. And that's the symbiotic relationship we have between our 2 client segments, retailers and brands. So it's not just about what Target does, it's about how that helps improve our overall business prospects. And so bringing in a #3 retailer is fantastic.
Operator: [Operator Instructions] And we'll next hear from Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle: Stephen, I wanted to follow up on Karl's earlier question and ask a little more broadly about competition and just overall kind of TAM and market size as you've gotten further into this. Anything new that you're seeing competitively? And as the market is sort of evolving, are you seeing any more sort of kind of evidence of how this is going to sort of ultimately form out in terms of standalone market?
Stephen R. Collins: Can you clarify a little bit more the last aspect of your question? I'm not sure exactly what you're getting at. I understand the competition question, but how it will settle out, I'm not sure what you're getting at.
Brendan Barnicle: So we've been talking about, sort of since you guys went public, that it's sort of a $10 billion TAM. And we've seen that market, I think, sort of evolving over time and still trying to -- I think that one of the bigger investor questions still is, is it really $10 billion? And how are we going to get some evidence of how that -- how big that market is? We've seen some SMB. We've seen some enterprise. But we're not seeing -- we hadn't necessarily seen the type of momentum we thought we were going to see. So what we have is evidence that we're really getting that kind of TAM there and that customers really view it as that -- that big a priority.
Stephen R. Collins: Sure. So I understand. So let me address the various elements of your question. The competitive landscape around social commerce is dynamic and complex. We're servicing 2 distinct segments of the market, retailers and brands. And we have a global company. As Gene mentioned, we just got through setting up our K.K. in Japan. That's a market I wish we had been in earlier. It's the #3, I think, eCommerce market in the world. We're there now. So you have to think about TAM globally, and you have to differentiate between the retail dollar opportunity and the brand dollar opportunity. Everything that I have learned in my 3 years here and observed and, certainly, what I've observed in the last 9 months does not diminish or -- my views about what the addressable market opportunity is. However, I also believe that to access that spending, to unlock it, to use the words I referred to or used in my script, we've got to be more than just a Software-as-a-Service company. We've got to unlock the power of our data and make it extensible to our clients for use in other ways, whether it's analytics or advertising. And that's why we're making such significant investments around our technology because that's an essential gating factor to do that. It is my fervent belief that as we unlock the, what I'll call, network solutions, which, by the way, might be priced as a subscription software product, that, that really opens up the brand wallet. And so that building reach and scale with retail, for example, with companies like Target, are an essential component to accomplishing that. So I think it's a matter of the maturity of the market. I think it's a matter of us getting our technology into a state that allows us to go after additional dollars. But I -- again, I don't see that our market opportunity has, in any way, been impaired. As far -- a little more on competition. I've talked to a lot of Chief Marketing Officers. And I've talked to a lot of Heads of eCommerce that our clients [indiscernible]. And I can tell you, retailers and brands, they're both oriented around performance and making more money. And so we have a performance-oriented solution, and we've got to deliver value. We're here to make our clients money. And so when -- particularly, when brands look at alternatives to how they spend their marketing dollars, they look at best use for their marketing dollar. They don't necessarily say, "I have to spend money with Bazaarvoice." In fact, for both retailers and brands, there are any number of alternatives. They can do something completely different with their money. They can pursue their own solutions with one of our various competitors. So that creates an environment where proving ROI is essential to success. And, again, a lot of the changes and upgrades we're making to our technology will allow us to be better and better at that and deliver performance. So that's how I see the marketplace, and I remain extremely bullish about the long-term prospects here.
Brendan Barnicle: One of the things we've seen in other sort of nascent SaaS or hybrid markets is that you get -- once there's enough body of evidence of the ROI, you sort of hit that tipping point in terms of adoption we saw in the HR segment, we've seen it in some other segment marketing. When do you think you guys will have that sort of body of evidence that really gets CMOs over the humps so that this becomes a clearer priority, so that your sales cycle gets faster, the value is clear and we get that sort of acceleration around adoption that we've seen in so many of the other sort of SaaS-oriented segments?
Stephen R. Collins: That is a great question, and it's a great point. Measurability, really being able to show brands what's happening across our entire network, across the entire retail channel, is essential to defining ROI around what we do. We have lots of anecdotal and case study-based information, but as I think you would agree, that's very different and not as scalable as a dashboard that says, "Here's your ROI" every minute of the day and "Here's how you're doing brand A versus brand B in terms of the quantity and quality of your authentic earned media content." And our legacy platforms did not, in fact, support that cross-network capability. And everything we're working towards in terms of our R&D investment and how we're building our team is to unlock the power of that data to really establish the benchmarks in the industry for what we refer to internally as the digital shelf space battle around eCommerce, essentially, how does one brand know if they're winning the word-of-mouth game, the earned media game against the other brand. And as we set that standard in the marketplace, building on top of the platform, our platform that we've developed and are rolling out, I think that really is going to usher in a completely new macro growth cycle, if you will, for our company. And we started making those investments a couple of years ago, building out our R&D team. And so we're still in the middle of that process. And it is my view that, that is exactly the sort of catalyst that's going to change the game. And between now and that time, we've got to take great care of our clients. We've got to help them make more money. We've got to build our network. We've got to add more clients to it because that just makes the data asset that much more valuable to everyone.
Operator: And we do have one name remaining in our queue at this time. We will go to Dan Cummins with B. Riley.
Daniel T. Cummins: Let's see, I wanted to just ask a quick follow-on to the previous 2 questions and then a little bit about the numbers. I would agree with what you were just saying about the market's comprehension of the opportunity and the products and services involved. And I think you guys are at an important intersection of what I guess I would call brand IT or customer experience IT. I think Gartner has a different name for it that's not as helpful. But I struggle to try to understand that as we were adding coverage this summer. But I think it's a very, very unique space. And related to that, my question is, at the low end of the market, as you look at the eCommerce companies, such as Shopify, Magento, 3DCart, they seem to have an important widget category for product ratings and reviews, in some cases, using third-party technology. I'm curious if that represents a distribution opportunity for you down market in the future. But I think, obviously, that should be helpful, if nothing else, before the DOJ.
Stephen R. Collins: Yes. The way we think about our -- one way we think about our business is we want to do everything possible to help our clients collect the maximum amount of authentic content and related data as possible from as many different sources as possible. And by the same token, we want to help them take that digital marketing asset, that earned media content and its related data, and then distribute that or expose that content data to the broadest audience possible. So really, I think, if you look at any number of companies that are providing some services around retailers, eCommerce, there's all sorts of ways, I think, that we can work together. And, in fact, there are any number of ways that clients, retailers can solve the ratings and reviews need if they want to with companies like Magento. So not every single -- let me back up. We want every single brand to be able to reach every single retailer. And not every single retailer is going to be on our platform. So ultimately, we do want to maintain an open network. That creates the most value for everybody. So it's a little hard to pick any one particular category of partner that you pointed out and say this is more important than the other. But Gene is in charge of the partnership area. And historically, we kind of looked at it as well, how can we integrate with one of this particular software, let's say, in Oracle or in SAP and work into their CRM systems. But we're taking a much different look at partnerships around the idea of where can we source more content and data for our clients and where can we distribute more content and data for our clients. And as long as we're doing things that are in the best interest of consumers, retailers and brands together, that's the -- how we're going to think about partnering. Hopefully, that made some sense. I'll try again, if I fail.
Eugene Austin: The one -- the only thing I would just add, because there's been a little bit of a tone of what's the market like from a competitive standpoint, I will -- being kind of a new guy, I've been out and seen -- there's a number of options for our clients to obtain content about their brands. They'll republish it. They're not -- they don't have the same look and feel of our ratings and reviews and the power of our network. But the idea of being able to get content for your brand, publish it, et cetera, there are a number of options out there. The unique position we have, to Stephen's point, is we have our network that gives the brand insights into what's going on with our different product categories in a way that some of the point products that are out there don't. But to Stephen's point, we're -- we have an open mind about how the network should evolve, incorporating other folks as well.
Stephen R. Collins: Yes, I think it gets lost in my remarks often when I talk about Connections. It's really important to mention that even though that's a network strategy, where you're bringing people on with a premium model, we've added nearly 1,000 unique brands that sell their products through our retail clients, that would not otherwise be clients of Bazaarvoice because they had no particular need at this time for our ratings and reviews platform, but they certainly have a great interest in connecting to shoppers in the retail channel. So this is -- we've added -- doubled the number of unique brands in a year through Connections that we added in over 8 years. And -- so just bringing all those new brands into our family, if you will, is really, I think, sowing the seeds for success in the future. And, again, I think that might get lost a little bit in the context of my remarks how excited I am about that progress there. And we're really starting to run the meter on expanding the total number of clients on our platform. And, of course, we'd like to see that get into the tens of thousands, ultimately.
Daniel T. Cummins: Just a quick question about revenue. The quarter-on-quarter compares on the SaaS line are pretty weak at this point. And I know you're projecting an overall acceleration of the business model for next fiscal year. But when do you think investors will start to see some firming on the Q-on-Q for the SaaS revenue line, in particular? Or is the gap between the pricing for the new customers and the existing base just too much right now?
Stephen R. Collins: Well, I mean, what we really talked about is setting the stage for accelerating growth into FY '15. So the implication of that is you've got to build that momentum up over the next 2 to 3 quarters. And because of the latency in terms of how we sign clients and launch them and things, you're just not seeing it come through yet. That's obvious, as you just pointed out. The key for us is just getting, in my view, all cylinders firing. And we've had a hard time doing that over the last few quarters. And for me, the primary issue was we got focused on existing client upsell, and we didn't build robust cohorts. And that just gives us less fuel for the fire to speak. And we have to build that back up. And then our engine gets back to work in the way it needed to work. And that's just a multi-quarter exercise. It's as simple as that.
Operator: [Operator Instructions] And it does appear that we do not have any additional questions. I'll now turn the call back over to Stephen Collins for closing remarks.
Stephen R. Collins: Again, I'd like to thank everyone for joining us today. As I said in my remarks, I'm feeling very good about our ability to execute as we go through the year and want to thank the management team and every member of the company for all their hard work and dedication. And we'll look forward to talking to you next quarter. See you later. Bye.
Operator: And that will conclude today's program. Thank you, all, for joining.